Operator: Good day and welcome to the Protagonist Therapeutics' Year End 2018 Update Call. Please note that today's conference is being recorded. [Operator Instructions] At this time, I would like to introduce Rich Allan of Protagonist Therapeutics Investor Relations. Please go ahead.
Rich Allan: Thank you, operator. Good afternoon everyone and welcome to the Protagonist year end 2018 update call. Please note that a webcast and a replay of today's call will be available at the Investors section of our website at protagonist-inc.com. Before we begin, I would like to remind you that today's discussion will include statements about the company's future expectations, plans and prospects that constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the risk factor section of our annual report on Form 10-K, which is on file with the SEC. While we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views change. With that, I will now turn the call over to Dinesh Patel, President and CEO.
Dinesh Patel: Thanks Rich. Good afternoon everyone and thank you for joining us today. The past year was highly eventful for Protagonist, and we look forward to 2019 as a year of solid execution as we move ahead with clinical development of three very diverse drug candidates, all generated from our proprietary peptide technology platform. We begin the year with adequate financial resources to support progression of these three candidates to important inflection points from now through the end of 2020. On today's call, I would like to review the status of our development candidates and highlight six key milestones we anticipate for 2019. Joining me today is David Liu, our CSO and Head of R&D; Rich Shames, our Chief Medical Officer; and Suneel Gupta, our Executive VP of Clinical Operations and Pharmacology. They will all be available to address questions you may have during the Q&A session. Following my overview, Don Kalkofen, our Senior Advisor for Finance and Accounting, will review our financial results, and then we will open up the call to questions. So to begin, I would like to emphasize that Protagonist is exclusively focused on peptide therapeutics. Over the past 10 plus years, we have created and optimized the peptide engineering technology platform that enables us to discover new chemical entities with highly distinctive attributes. Specifically, we are able to develop peptide therapeutics designed to address specific medical challenges that cannot be adequately addressed with classical small molecule or large antibody approaches. We are therefore able to pursue those projects and opportunities in medicine that most other companies are unable to undertake. Thus, there is a significant barrier-to-entry for others towards accessing the kind of assets we are discovering and developing as they do not possess the privileged know-how or the type of proprietary technology platform that we have. Through the use of our platform, we have built a pipeline of three distinct therapeutic candidates that are now in different stages of development. Our most advanced asset is PTG-300, a synthetic peptide mimetic of the natural hormone, hepcidin. PTG-300 is engineered to have better drug like properties for the use as a therapeutic agent. It is engineered to be more potent, more stable, less complex in structure, and easier to synthesize in comparison to the natural hormone hepcidin. Hepcidin is a master regulator of iron homeostasis in our body. And therefore, the mimetic peptide PTG-300 has the potential to address unmet medical needs in multiple blood disorder-based indications, many of which fall in the category of rare diseases. Thereby, providing an opportunity for orphan drug development for those specific indications. Our two other aspects, PTG-200 and PN-943, are gut-restricted, orally stable peptides that are being developed as potential oral therapy for inflammatory bowel diseases or IBD. In IBD, we are targeting those biological pathways that have already been validated by approved and marketed injectable antibody drugs. What sets us apart here from these injectable antibodies is our oral gut restricted approach to targeting these validated pathways. Our first oral gut restricted IBD asset is PTG-200, and it targets the IL-23 receptor. The clinical validation for this approach comes from Janssen's approved injectable antibody therapeutic Stelara that targets the IL-12/23 pathway and that is approved for Crohn's disease. You can also appreciate then that it is not a random coincidence that we have a partnership with Janssen around PTG-200 as it offers the potential to synergize and extend the Stelara franchise. PTG-200 is ready for a Phase 2 study in Crohn's patients, and we expect this study to be initiated by Janssen in the first half of 2019. Our second asset in the IBD space is the oral gut restricted candidate PN-943, which targets alpha-4-beta-7 integrin, the same biological target through which Takeda's injectable antibody IBD drug, ENTYVIO, works. PN-943 is currently in Phase 1 studies in healthy volunteers. While the injectable antibodies like Stelara and ENTYVIO are important and available treatment options, there is a strong shift in the potential treatment paradigm towards oral targeted therapy in IBD as witnessed by multiple companies working on oral JAK inhibitors and S1P modulators. Oral therapeutic options, like PTG-200 and PN-943 that work through mechanisms already proven and validated by injectable antibodies could be a potentially safe and a welcome needle-free option for IBD patients. So, until now, I have talked about why and how our three clinical assets are unique, well-differentiated, address unmet needs, and in general, present a barrier to direct competition. Now, let us talk about the specifics that is what is the current status of these three assets and what milestones and announcements can be expected in 2019 and beyond. As mentioned before, we are fortunate to be in a strong position to move forward with adequate financial resources to support all of these programs through the end of 2020. First, let's review the status of hepcidin mimetic PTG-300. With 300, we have previously demonstrated pharmacodynamic readout phase clinical proof-of-concept in Phase 1 studies, achieving dose related reductions in serum iron levels in healthy volunteers. It should be noted that in this Phase 1 study, PTG-300 was shown to have a significantly longer half-life of 21 to 42 hours in comparison to hepcidin, which is expected to have a half-life of five to eight hours. Being a mimetic of the natural hormone that serves as a master regulator of iron homeostasis, 300 has potential utility in multiple blood disorders, such as beta-thalassemia, myelodysplastic syndrome, polycythemia vera, and hereditary hemochromatosis. Out of this, the fourth indication we have chosen to pursue is beta-thalassemia, a rare disease characterized by deficient or defective production of red blood cells and excessive iron overload in the body. Currently, there is no approved medication for these patients and they are often dependent on blood transfusion with many patients requiring lifelong transfusions to survive. PTG-300 has received orphan drug designation from the European Medicines Agency and U.S. Food and Drug Administration as well as fast-track designation from the U.S. FDA. We recently initiated dosing of PTG-300 in the TRANSCEND study, a global Phase 2 study in beta-thalassemia patients. This is a single arm, open label study in 84 patients designed to evaluate safety, clinical proof-of-concept, and dose optimization in both transfusion-dependent as well as non-transfusion-dependent beta-thalassemia patients. We are satisfied with the rate of patient enrollment to date, and we expect to report initial results from the TRANSCEND study in the second half of the year. Beyond beta-thalassemia, we see strong potential for PTG-300 in other indications and expect to initiate a second indication in the second half of the year. So that was the overview on our subcutaneous hepcidin mimetic 300 for blood disorders and diseases. Now, let us switch gears and update you on our two oral gut-restricted IBD assets. First, let's address the oral IL-23 receptor antagonist, PTG-200. As a refresher, we entered into partnership with Janssen for PTG-200 around mid-2017 when it was a preclinical asset. Since then, all preclinical studies as well as Phase 1 studies have been completed by Protagonist and the drug has been found to be well-tolerated with no serious adverse events or dose-limiting toxicities observed in healthy volunteers and it is now ready for evaluation in patients. Both Protagonist and the Janssen teams are working together toward the objective of filing the U.S. IND in the first half of 2019 to begin a global Phase 2 study in patients with Crohn's disease. Our partnership remains strong and we are privileged to be working with a partner like Janssen with such deep-rooted expertise and experience in the field of IBD and with a strong commitment towards oral gut-restricted approach as a future therapeutic option for IBD patients. Now, let's address our fully owned oral gut-restricted alpha-4-beta-7 integrin antagonist, PN-943, that we are currently developing on our own at this stage. 943 is currently in a Phase 1 study in healthy volunteers, wherein besides establishing safety and PK, we will also benefit tremendously from measuring pharmacodynamics or PD effects of blood receptor occupancy or RO. You may recall that PN-943 builds up on an earlier program with a similar oral gut-restricted alpha-4-beta-7 integrin antagonist, PTG-100, wherein we had established a good correlation between Phase 1 pharmacodynamic data and the Phase 2 histological and clinical remission rates in ulcerative colitis patients. And these findings are presented as an Oral Talk at the UEGW Conference in October of 2018. PN-943 is an analog that has shown superiority to 100 by all measures of in-vitro and in-vivo preclinical studies that we have investigated to-date. We are glad to share that the preclinical research findings that describe the properties of PN-943 have been accepted for an oral presentation for Sunday, May 2019 at the Digestive Diseases Week Conference in San Diego. PN-943 provides a notable example of the versatility of the Protagonist peptide engineering platform, which allows to create backup candidates with improved properties. And in this case, it has allowed us to switch conveniently from 100 to 943 without significantly expanding the overall development timelines. We are expecting initial clinical safety PK and PD results from the Phase 1 study of 943 in healthy volunteers in the first half of 2019. The Phase 1 results will inform the design of a Phase 2 study of 943 in patients with ulcerative colitis with an expected U.S. IND filing in late 2019. So, in summary, 2019 will be an eventful year with six specific milestones. With hepcidin mimetic PTG-300, the three specifics events are first, dosing of the first patient beta-thalassemia patient, which we already accomplished in early January. Two, preliminary results from the TRANSCEND study in the second half of the year, and three, initiating another indication besides beta-thalassemia in the second half of the year. Our fourth milestone of the year is with regard to the oral IL-23 receptor antagonist, PTG-200, wherein we expect Janssen to file a U.S. IND in the first half of 2019. And the last two out of the six milestones pertain to our oral alpha-4-beta-7 integrin antagonist, PN-943, wherein we look forward to, one, finishing the Phase 1 study and sharing the PD data in the first half of the year, which will then guide the Phase 2 study designed in UC patient. And then last, an IND filing by year end for this Phase 2 study. With that overview now, I will now turn the call over to Don to review our fourth quarter and year-end financial results. Don?
Don Kalkofen: Thank you, Dinesh. The press release we issued today provides details of our fourth quarter and full year results. Rather than repeat all those details here, my comments will center on a few highlights. Protagonist ended 2018 with $128.9 million in cash and cash equivalents and investments. As Dinesh mentioned earlier, we expect to have sufficient financial resources to fund our operations through the end of 2020. Protagonist reported a net loss of $13.9 million or a negative $0.57 per share and $38.9 million or a negative $1.74 per share respectively for the fourth quarter and full year of 2018 as compared to a net loss of $3.1 million or a negative $0.15 per share and $37 million or a negative $2.09 per share respectively for the same year in 2017. License and collaboration revenue was $2.4 million and $30.9 million respectively for the fourth quarter and full year of 2018 as compared to $11.3 million and $20.1 million respectively for the same period in 2017. The decrease in license and collaboration revenue for the fourth quarter of 2018 as compared to the prior year period was primarily related to us nearing the end of the revenue recognition phase of the $50 million upfront payment received from Janssen in 2017, coupled with the additional estimated time remaining to complete our increased compound supply services under the Janssen license and collaboration agreement. Protagonist estimates these services will be completed during the first half of 2019 compared to the previous estimate at the end of 2018. R&D expenses were $14.2 million and $59.5 million respectively for the fourth quarter and full year of 2018 as compared to $11.7 million and $46.2 million respectively for the same periods of 2017. These increases in R&D expenses were primarily due to the cost related to contract manufacturing and the preparation for and conduct of clinical trials for our product candidates. With that, we'll now open up the call for questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of George Farmer with BMO Capital Markets. Your line is now open.
George Farmer: Hi, thanks for taking my questions. Can you provide a little bit more detail on what we can expect to see from the PTG-300 study ongoing now, specifically with regards to any differences between the transfusion and non-transfusion-dependent patients? And also can you help us understand a little bit about why this drug should have activity in this particular indication when really the underlying defect doesn't have to do with iron overload per se?
Dinesh Patel: Sure. So, George thanks for the question. And you have two questions embedded in there. So, in terms of the detail of the trial design and things of that nature, I will divert the question to our CMO, Rich Shames. And then David Liu, our CSO, can give a brief rationale for why we would expect activity in beta-thal with this drug.
Richard Shames: Thank you, Dinesh, and thank you George for the question. So, let me just briefly overview the trial design. As you may recall, it's a single-arm, open label, multiple ascending dose study in approximately 84 patients with both non-transfusion or transfusion-dependent beta-thalassemia. And overall, we're intending to evaluate safety and preliminary efficacy in this trial. Now, the non-transfusion-dependent subtype patients, there's a 12-week duration of treatment, and the primary readout is a change in hemoglobin at 12 weeks with a minimum response criteria of at least an increase of a gram in hemoglobin from baseline. For the transfusion-dependent subtypes, it's a 16-week treatment period, with the primary endpoint focused on a change in transfusion burden and a minimal response defined as at least a 20% decrease from baseline in the red blood cell units. Now, as the trial progresses through its multiple ascending dose stages, we expect to report our preliminary efficacy and safety in the second half of this year. So, essentially, this would focus on the topline readouts to evaluate proof-of-concept in this trial. And as I mentioned earlier, for the non-transfusion and transfusion-dependent patients, there would be separate efficacy readouts.
George Farmer: Okay. And you think the data will be sufficiently mature in both cohorts by the time you're ready for data presentation?
Richard Shames: So, we intend to accumulate the data. It's an open label study, so we will be evaluating it as it comes in. And as soon as we have sufficient data to be able to evaluate proof-of-concept in either or both of those subtypes, we would be prepared to report out that preliminary data.
George Farmer: Which you're still on track for the end of this year, right?
Richard Shames: Yes. At this point, we're on track for --
George Farmer: Right. I'm just thinking about the math. If you just -- if you enrolled first patient at the beginning of this year, that's a lot of patients to squeeze in between now and the end of the year with a 12-week and a 16-week endpoint. I just wanted to clarify that.
Dinesh Patel: Yes. So, just to be clear, we are not talking about data from all the patients we expect to enroll. We are just talking about initial readout.
George Farmer: Okay. Okay, great. And then again, just kind of mechanistically, why should a drug like this work to increase hemoglobin levels again if the underlying pathology is -- does not involve iron homeostasis in particular?
David Liu: Hi George, this is David Liu. So, the basic excitement around PTG-300 is a hepcidin mimetic is that we can actually, in a very unique mechanism, directly reduce iron toxicity that leads to premature oxidative damage to the late-stage red blood cell precursors . So, regardless of the etiologyof the disease, there's an imbalance that -- so we would like to certainly reduce and reach to hit that iron so that the red blood cell precursors are allowed to incorporate that iron as much as possible appropriately into hemoglobin, in this case alpha-globin chains to allow for oxygen carrying and address the anemia.
Dinesh Patel: And George what I would add is like for whatever it is worth, in a preclinical setting, we saw a very nice translation of the serum iron reduction PD effect that we saw in healthy animals to a very good effect on the disease animals, the beta-thalassemia mice model in terms of the hemoglobin levels and overall clinical efficacy. Now, of course, it's a preclinical study. But over there -- but it's a very validated model. Other developers of beta-thalassemia drugs have used the same model. And so that is a good degree of conviction that we have about the translation of the effects of a mimetic in beta-thalassemia patients based on that.
George Farmer: Great, okay. Thanks very much.
Operator: Thank you. And our next question comes from the line of Joseph Schwartz with SVB Leerink. Your line is now open.
Joseph Schwartz: Thanks very much and congrats on the progress. My first question is also on PTG-300 and how do you expect the improvements that you're hoping to see in serum iron to translate into tissue iron? And is the latter an end point that you think regulators will be looking for you to demonstrate an improvement on given how rapidly this program is advancing? How are you thinking about the regulatory pathway for 300?
David Liu: Yes. So, Joe thanks for the question. Let me first address the translational aspect and that is we know from our preclinical studies that there is this relationship of serum, hematological, and iron parameters where they lead to an eventual outcome of hemoglobin increases, which for the non-transfusion-dependent patients would be the primary endpoint. And we know that that increase in hemoglobin is -- can be done without sustained decreases of iron. So, we have that kind of translational information which we can now extract from the Phase 1 iron regulation that we saw with PTG-300 to some prediction of the appropriate dose for patients and so forth.
Richard Shames: And also, Joe -- yes, this is Rich Shames. Let me just speak to your question about the regulatory path. First, let me emphasize that once we obtain adequate safety data as well as identify the proper dose regimen in this Phase 2 study, we believe that we can go to the FDA and propose a pivotal study. As you recall, we do have fast-track designation, so we clearly have good access to the agency. I think as far as the end points, our primary focus is really on the underlying ineffective erythropoiesis and anemia. So, the endpoints that we're primarily measuring in the Phase 2 study would also likely be the pivotal end points that is increasing hemoglobin in NTD patients and a reduction in transfusion burden in [audio disturbance]. We, of course, will be measuring tissue iron effects in the liver in particular, and these are probably going to take a little bit longer term to assess and would likely be more secondary assessments in terms of the regulatory status.
Joseph Schwartz: That's helpful. Thank you. And then on PN-943, is there anything that we should look for that's new data from the preclinical data that will be at DDW? And then how will you be using the Phase 1 data to -- and form a design of your Phase 2 for PN-943?
Dinesh Patel: Sure. So, obviously, we'll let you wait until May to get the exact details of what we present. But there will be more color and more details about our overall preclinical data package that we have with PN-943. So, that's point number one. With regard to the Phase 1 results of 943, as I mentioned before, we have a previous 100, we were able to build a very nice correlation between the PD effects that we saw in healthy volunteers to the PD effects that we saw in patients to ultimately, the histological and clinical remissions that we saw in UC patients. So, until now, we have done comparison of PN-943 with 100 only in a preclinical setting. But this Phase 1 study, PD data, will be the first point of direct comparison between the two drugs in a human setting. And then the idea would be to use that information, along with the information we already have with 100 to then structure a very informative next study in UC patients with 943.
Joseph Schwartz: Thanks again.
Operator: Thank you. And our next question comes from line of Christopher Marai with Nomura. Your line is now open.
Jackson Harvey: Hello. This is Jackson Harvey on for Christopher Marai. I have a follow-up question to the previous one, and that is regards to how PN-943 Phase 1 data will inform the Phase 2 trial. I'm just curious if the -- if you expect that the primary endpoint relative to PTG-100 would be different for PN-943.
Dinesh Patel: I think at this stage we just have to wait it out and see what the Phase 1 results look like because that is what ultimately informs us what kind of a guided Phase 2 design we create with PN-943 going forward into UC patients.
Richard Shames: And I would just add Jackson that we expect to do a proof-of-concept study in UC patients. Obviously, we'll announce further details later this year. And in particular, the data coming out of that Phase 1 study with regard to the pharmacodynamic markers will be particularly important in terms of understanding the proper dose regimen that we may use.
Dinesh Patel: And maybe I'll volunteer to add that we want to bring everybody's attention the fact that PN-943 is an oral GI-restricted alpha-4-beta-7 integrin specific blocker, one of its kind. And the latest disclosure from Takeda where the data side-by-side comparison of their drug that adalimumab that Humira has once again established how alpha-4-beta-7 integrin is, not only a safer, but a superior and more effective mechanism, at least, in this case comparison to TNF blockers. So, clearly, this is a mechanism that is going to prevail, prosper, and broaden, and we are privileged to be the only one that has a drug that will go in to Phase 2 studies by the end of the year.
Jackson Harvey: Great. Thank you. And my last question is on PTG-200. I guess what's the gating factor in getting this IND submitted? Is it -- is Janssen, I guess, chiefly responsible for the trial design at this point?
Dinesh Patel: Yes. No, it's a fair point. And so the way the original agreement was structured, for all practical purposes, it's a true, true collaboration with both since working together in all aspects of clinical development. But according to the contract, Phase 1 was Protagonist's responsibility, which has been completed. And technically, for Phase 2, it is Janssen that will be the front face and that will file the U.S. IND. But I would also add that once again, the two teams are working very closely together. And by the way, it isn't 80/20 cost split in a Phase 2 study. As to like why this hasn't happened yet and all that kind of stuff, it's -- all we can say is that we are very privileged to be working with Janssen. These are the frontiers in the field of IBD. This is also a company that is not shy of terminating biotech collaborations if it doesn't make sense to them. But we are offering them an extension to the Stelara franchise. We are very happy with the data that we have with our drug and the kind of relationship that we have with Janssen. So, we feel confident in maintaining our state plan that we expect Janssen to file the U.S. IND in the first half of the year.
Jackson Harvey: Great. Thank you very much. Looking forward to the preclinical data.
Operator: Thank you. And our next question comes from the line of Tim Chiang with the BTIG. Your line is now open.
Timothy Chiang: Hi thanks. One additional question on PTG-300. I know you are [Indiscernible] those cohorts. I think you also had planned two additional cohorts in younger patients. Do you think you'll be able to show topline data from those cohorts as well by year end?
Richard Shames: Yes, this is Rich. Thanks Tim for the question. So, what you're referring to is the two cohorts of the adolescent subjects, which are aged 12 to 18 years. These are obviously not rate limiting to the main data that's going to available in the adult patients. I think these patients are certainly more challenging to recruit. And so I'm not sure that it would fall into that -- the same bucket in terms of timing. But we'll be able to announce preliminary results from the populations that we have at that point.
Dinesh Patel: So, it's not rate limiting at this stage broadly.
Richard Shames: Exactly.
Timothy Chiang: And maybe just one finance question. Is there any sort of target that you think you'll have for operating expenses in 2019? And then will it be somewhat similar to this past year or will be something higher?
Dinesh Patel: Sorry, can you repeat your question?
Timothy Chiang: Yes, just operating expense targets for this year, R&D spending. And obviously, you guys were around about $31 million -- no, actually, just what sort of R&D burn do you think you'll have in 2019?
Dinesh Patel: Yes. Well, as you can imagine, we don't fine tune that kind of breakdown. The guidance we are providing is -- and Don, you can feel free to chime in, we ended the year with roughly $129 million and we have cash runways through the end of 2020 under the conservative assumption that we will be going full speed ahead with all our plans and every single study that we initiated is going to blossom further.
Timothy Chiang: Okay, great. Thanks.
Operator: Thank you. And our next question comes from the line of Adam Walsh with Stifel. Your line is now open.
Adam Walsh: Hey guys. Thanks for taking my questions. I have just a couple. On PTG-300, for the second indication that you're thinking about, I'm just curious, is there something that you think about in terms of the mechanism of action that might make the drug more applicable to a certain indication than others? Or is this something you expect to learn from the beta-thal study and that that will help guide you to additional indications? That's the first question. Then second one on 943. I don't mean to kind of beat a dead horse here, but the Phase 2 design that I understand will be informed by the Phase 1. But based on the PTG-100 experience, is there -- are there things that you know a priority will change in the 943 Phase 2 study? And if so, since we already kind of understand the learnings from the other study, can you help us guide us there? Thank you.
Dinesh Patel: Sure. So, with regard to PTG-300, clearly, there are multiple indications we can choose from. And if you reflect upon how we came to beta-thal as a choice of first indication, then it provided us with a nice conversion of mechanistic rationale as well as the unmet need and the commercial opportunity. So, those are the kind of factors that we take into consideration with regard to our choices, and that is how the second indication choice will be dictated. But you asked a very good question. And that the short answer is that no, they wouldn't necessarily be waiting for seeing results from the beta-thal indication before initiating the second indication because some of these diseases, they kind of are related to different aspects of the mechanism of hepcidin, right? So, for example, beta-thal and PCV are two very good contrasting mechanistic rationales. So, all in all, I think it's a good balance of where the unmet need is, what is the probability of success and what is the commercial opportunity appeal. That's what will dictate our second choice. Having said all that, it's -- over a period of time, we will slowly and steadily want to take on a further new indication as well with PTG-200. So, our journey is not going to just stop with the first or second indication. So, that's PTG-300. And maybe for 943 and the lessons learned from PTG-100, Rich, I can have you elaborate a little bit?
Richard Shames: Sure, sure. So, Adam, I think it's fair to say there are certainly some learnings from the PTG-100 study and its design and experience. But I think most important is that the PTG-1 Phase 2 study really did validate the concept of a gut-restricted or alpha-4-beta-7 candidate drug. The drug was clearly phased and well-tolerated and we did demonstrate preliminary efficacy. So, I think that's very important in terms of derisking the program moving forward. And as I mentioned earlier, the Phase 2 study will really be -- or subsequent study will really be a proof-of-concept study focused on UC patients, the precise design around that. Again, we'll provide additional details down the line with that.
Adam Walsh: Thank you.
Operator: Thank you. I'm showing no further questions at this time. I would like to turn the call back over to Dinesh Patel, President and CEO for closing remarks.
Dinesh Patel: Thanks. So, we expect 2019 to be a very productive year for us with significant milestones for each of our three clinical programs and potential expansion for PTG-300 clinical development into an additional indication. We would like to thank the Protagonist shareholders who have supported us over the past years. We would also like to thank the patients who participate in our studies and the very, very hard-working and dedicated Protagonist employees, who are responsible for the achievements we have made so far. And finally, I would like to thank you all for joining us today for this update.
Operator: Ladies and gentlemen, this concludes the Protagonist update call. You may all disconnect.